Operator: Good morning. My name is Wanda and I will be your conference operator today. At this time I would like to welcome everyone to the Cabot Oil & Gas Second Quarter 2007 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question and answer session. [Operator Instructions]. Thank you. Mr. Dinges you may begin your conference.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Thank you Wanda. Good morning, thanks for joining us for our second quarter teleconference call. With me today I do have several members of our management team including Mike Walen, our Chief Operating Officer; Scott Schroeder, our CFO; Jeff Hutton, our VP of Marketing; and Chuck Smyth, our VP-Controller. Before I do start the teleconference let me say that the statement regarding forward-looking information or regarding... included in the press release prior to my comments today. As you are aware Cabot issued two press releases last night both illustrating our continuing success, one with the financial highlights for the quarter and the other reporting achievements in our second quarter operations activity. Financially the company again reported solid net income of $38.6 million or $0.40 per share after removing the benefit of additional asset sales activity in the quarter. This level of net income was Cabot Oil & Gas Corp.'s second highest quarter -- second highest second quarter results ever reported only exceeded by last year's effort. The quarter experienced higher realized natural gas prices offset by lower oil price realizations and as expected due to this third quarter asset sale last year; we had lower absolute production for the comparable quarter. Overall expenses were down 4.5% for the year-over-year comparable quarters. I think this is very positive particularly in the escalating service cost environment we've had over the last several years. Relating to pricing, Cabot experience a 7% increase in natural gas price realizations buoyed by $0.66 per MCF pick up from the Company's hedge position. Additionally we had... we have added the hedge impact for the reported periods to the press release tables. Oil price realizations fell 9% to $61.98 per barrel but remained within our caller range of $60 to $80 per barrel. Cabot's overall hedge position is highlighted on our website for both 2007 and 2008 and as it relates to 2008 we remain opportunistic and will look to add to that position. Excuse me. Production as I mentioned, absolute comparable period volumes we down as a result of our sale in last year's third quarter. However what I remain very pleased with is our pro forma growth levels for production of 13% for the second quarter comparisons and 19% for the year-over-year period. Because the production levels are solidly within our guidance, the posted guidance level remained unchanged at this time. The production growth has clearly been driven by 98% success in our 222 well year-to-date drilling program. Moving to your expenses, overall expenses fell in the quarter even with increases due to compression, water disposal and treating costs and direct operations and the amortization of undeveloped leasehold in all our regions; the undeveloped leasehold are those aging areas that are no longer prospective or we have been allowed... or have been allowed to expire due to other opportunity. Because of this increased leasehold amortization, we are slightly increasing our guidance for DD&A in the third and fourth quarters. However guidance for all other expenses categories remain the same. Smooth operations: last night we gave an operational update including an increase in our capital program. We have been asked many times about our capital plan especially in light of our financial position and I believe these -- this release will answer the majority of those questions. Now we are adding approximately $65 million as capital for expansion of our drilling program and associated facilities and pipeline infrastructure. Obviously with this additional capital being spend towards the end of the year, the impact to 2007 production will be limited but will help augment our early numbers in 2008. Moving to the specific areas. At County Line and our Gulf Coast region, we have made further progress on three fronts: first, we expect our pipeline upgrade to be completed by September which will allow the Timberstar 2 horizontal James well to produce at full capacity. That well has been completed and flowing at a reduced rate of approximately 2.5 million a day. Second we are finalizing a trade with a major oil company there that -- in the area that gives us exposure to an addition 8,000 plus acres in the play. This would increase our position to over 26,000 acres under lease in the prospect. Third we have expanded our capital program to take care of this situation with nine more horizontal wells scheduled between now and year end in County Line. The Company also released results of the Timberstar number 1, a Pettet horizontal test; which you saw last night's release indicated a test at 480 barrels of oil per day plus 0.5 million per day natural gas. This well is currently shut in pending facility design. Cabot owns by the way 100% in this prospect. Moving to Mississippi in our Floyd shale tight sand play in the Black Warrior Basin, we are currently drilling out fourth shale test plus continuing to test an earlier tight sand well. The well we are currently drilling is our most westerly [ph] well to date. We plan to continue to evaluate this large acreage position and report our progress towards the end of the year. Moving to the west region, our Moxa Arch area of Western Wyoming had evolved really into one of our premiere development areas due to the success of our down spacing from 160 acres to 80 acres for the frontier section. Year-to-date we have drilled 15 wells at 100% success averaging reserves of 1.2 bcf to 1.4 bcf per well from the frontier which is in line with our pre-drill expectation. We look for this area to ramp up our effort during the third quarter. Paradox basin program will kick off when we spread our next well at McKenna in a couple of weeks. This 10,000 foot well will continue to evaluate gas potential in the Paradox shale group. Cabot has a large acreage position in this area. We plan also to drill one other high potential target in the basin later in the year. The south Gypsum prospect, a 9200 foot Leadville will spud in September. We have 6600 gross acres on this prospect. We will drill the initial well with a... anywhere from 30% to 50% working interest. This prospect has a 25 to 100 bcf potential. Moving to the mid-continent, also part of our west region. We have drilled 33 wells with a 97% success rate in the mid-continent utilizing two rigs with over 265,000 gross acres across the basin. We are using a portion of our capital expansion to upgrade this program. We plan drill over 27 wells between now and yearend in the mid-continent. Moving to the east region, the east region program remains on track with approximately 10 conventional rigs running. At this time we anticipate starting up a horizontal rig in August. Our plan at this time is to drill 6 to 8 more horizontal wells this year-to-date. And our total program both vertical and horizontal we have drilled... 154 wells have been drilled, 22 wells are currently completing, 130 wells have been completed, and 89 of those have been turned inline. The pipeline crews are working diligently to hook up our gathering system to those successful wells. At our horizontal play, we are producing five of the six horizontal wells, we have hooked into the system although at a curtailed rate as we continue to reduce the percentage of nitrogen recovered through production; the nitrogen was used to frac all these wells. While this wells -- while this is work in progress, we believe that on average the reserve profile of these five wells will be somewhere between the 1 bcf to 1.8 bcf range which when you compliment it with a completed well cost of $1 million, we think this gives significant credence to the program. As I mentioned we will be moving a rig in, in August to restart additional horizontal drilling. Moving to the north, our Canada region, at our Hinton area, our fourth well was recently stimulated, it tested at 12.2 million cubic foot per day from one of the two log mountain park zones. This is the first well as I have previously mentioned drilled from interpretation of our new 3D survey. We have staked additional locations utilizing our 3D and plan to drill several more wells this year in the Hinton area. We will have two rigs running in Canada for the rest of the drilling season, concentrating on a down spacing program at Mazzrow [ph], our drilling in Hinton and at Norway [ph] as well as Chime. In summary, we have achieved a significant level of success with the first half of our program and have our most active quarter out in front of us. I am very pleased with the tremendous effort of our staff and the progress of our 2007 program. We have started looking and working on our 2008 program and we should be able to report progress in October of what we have done for our 2008 program. For 2007 I do fully anticipate our organic reserve replacement target of 250 plus or minus percent to be met at yearend with a top tier refining cost of around $2. Additionally I anticipate us to meet our double-digit pro forma production growth targets in our guidance. If we meet these goals, we will again be adding significant value to the shareholder at yearend. Also it is our strategic goal to find an efficient method to accelerate our inventory of opportunities while still maintaining our financial strength. We will continue to work on this program. In light of this soft environment when we look at efficiencies we will also have to be attuned to stock buyback. At current levels of evaluation for Cabot at around $2.20 per mcf in the ground, we are at the indifferent mark between pushing our staff capacity and adding capital for rigs versus repurchase of shares. With that I do thank you for your support and look forward to reporting periodic update on Cabot's progress. Wanda, with that I will turn it back over to you and if there's any questions they can ask them at this time. Question And Answer
Operator: [Operator Instructions]. Your first question comes from Ray Deacon with BMO.
Raymond Deacon - BMO: Hey Dan, I just was wondering if you could talk about the mechanical issue with the nitrogen fracs and how you plan to... how it will the completion technique going forward? And also maybe just some more detail on what the James lime activity might look like going into 2008?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Okay, right thanks for the question. The amount of nitrogen that we pumped in with multistage fracs up there on horizontal's anywhere from four to seven fracs is a bunch of nitrogen and we are going into a line. We've tied into a line with laying a 10-inch and 8-inch out into our leasehold position and that line dumps into a line that does not have a great deal of gas in it right now. So the pipeline specs that we are held to limit the amount of nitrogen percent that we can put into the line and since we don't have a great deal of gas to blend with as we were and if we were hooking into a line that had a significant amount of the gas into it. It's requiring us to bring these wells on slower because the percentage of nitrogen being produced from each well is greater than the pipeline specs that we can -- we can put in into the line. So our plan and we've looked at additional ideas, whether or not we put in a nitrogen recovery unit out there which is kind of a slow process or we flare these wells in greater capacity before we start putting these into the lines to get the nitrogen down, and we are looking at those options. But right now what we would hope would happen is as we bring the nitrogen content down on the wells we are flowing into the line right now and as we get more gas into the pipeline the blending effort will help us bring on the wells that we continue... that we plan on drilling out into this area into the future. It will allow the blending process to help bring the percentage down and bring these wells on a little bit quicker, but also we're either going to recapture some of the nitrogen or we might flare a little bit more of the gas on the front end to help bring it down. It's just... when we are flaring them at reduced rates because the levels of production rates high, our flare rates are higher, we just... there's kind of a balancing and tweaking going on right now and that's what we are experiencing. In the James lime... in the County Line and all of these Texas areas we are looking at, we do anticipate that to be a very active program for us. The James lime as we have seen... we drilled a horizontal... I mean a vertical well out there earlier, we've now drilled our first James horizontal well which we've had good success with. We are going to drill an additional 9 horizontal James wells out there on our acreage and with our acreage position we do anticipate going into 2008, that's going to be a significant level of activity for us; the James along with the Pettet. So we look for that to be a pretty good program for us in 2008.
Raymond Deacon - BMO: Great, thanks Dan.
Operator: Your next question comes from the line of Larry Busnardo with Tristone Capital.
Larry Busnardo - Tristone Capital: Hey, good morning.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Hi Larry.
Larry Busnardo - Tristone Capital: Hi. Just looking at the County Line... I am just looking for a little bit more information on the two wells. The first one tested 2.5 million a day. Was that... the second one had more oil than gas, what's kind of the ratio of the first one and I know they are two different formations there. But was that expected to have more oil coming out of the James lime there?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Well the... I will turn it over to Mark and let him answer also Larry. But the James well tested at a different rate, we are flowing it... that about 2.5 million a day right now. And I will let Mike visit about the gas-oil ratios.
Michael B. Walen - Senior Vice President and Chief Operating Officer: Yes Larry the James is generally a dry gas reservoir, we have very little liquids involved with that. As a matter of fact that will part of the story with the Pettet, the Pettet zone is a higher... it's really oil zones more than gas zones out of the Pettet. And the goal going forward is to get enough James gas production to then blend with the Pettet gas and reduce our hydrocarbon dew point that way into our pipeline system and then set up some gas slip to lift this oil out of the Pettet. We think that there is a lot of potential in the Pettet for this oil reservoir and probably we will see some activity on that Pettet fronts in '08.
Larry Busnardo - Tristone Capital: Okay. What's the --
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: The oil and gas.
Larry Busnardo - Tristone Capital: Okay. On the pipeline front, what's going to be the takeaway capacity of that pipeline?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: I will... there's a lot of activity in these taxes in and around this area and I am going to turn it over to our VP of the marketing, Jeff Hutton.
Jeffrey W. Hutton - Vice President of Marketing: Okay Larry. Initially we expect to have about 15,000 a day capacity hopefully here around September. We've got a second project that's in the work that may add or essentially double that by let's say October. And then in addition to that there is two or three very competitive gatherers out there in the area that are proposing some very large diameter pipes to cut through that whole area; we are talking 24 inch type pipes. So capacity should not be an issue here as we get later towards the end of the year.
Larry Busnardo - Tristone Capital: What would be the timing of that second boost that would double that takeaway capacity?
Jeffrey W. Hutton - Vice President of Marketing: Towards the end of September... late September.
Larry Busnardo - Tristone Capital: Okay. Alright. Just shifting over to the Paradox. You've got obviously McKenna and then South Gypsum. I think there was a third one Vancorum [ph]. Is that still on the agenda... is that being pushed out 2008, I take it?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes, with the level of activity every place else, Larry, we are moving Vancorum to 2008.
Larry Busnardo - Tristone Capital: Okay and maybe a question for Scott there, just on the deferred tax rate came in higher than... significantly higher than what I was looking for. Do you think it's still going to be in that 15 to 25% range that you have been talked about or is there a possibility that it comes in higher than that going forward?
Scott C. Schroeder - Vice President and Chief Financial Officer: Yes there's a possibility it comes in higher; we will adjust the guidance, it's still 15% to 25%, we need to do some research for the tax department on that. We got kind of caught... we are just running out of time. So we will post new guidance under per taxes here by the end of the week.
Larry Busnardo - Tristone Capital: Okay good. Alright, thanks a lot.
Scott C. Schroeder - Vice President and Chief Financial Officer: Thanks Larry.
Operator: Your next question comes from the line of Eric Hagen with Merrill Lynch.
Eric Hagen - Merrill Lynch: Hey, good morning Dan.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Good morning Eric.
Eric Hagen - Merrill Lynch: On the James... in the James lime play, or actually on both the James one and Pettet, do you have any estimates out in terms of EURs and the well costs, if it's too early for that?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: It's really a little bit early to get that. We want to... I think towards the October period when we can turn these things in line a little bit and just kind of make sure they hold up as expected in all. I think that'd be a better time to be able to speculate on that.
Eric Hagen - Merrill Lynch: Okay. On the James lime well I think you mentioned... was the test rate at $5 million a day and just flowing it 2.5 capacity constraint, is that correct or --?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes, it was a little better than $5 million a day.
Eric Hagen - Merrill Lynch: Okay, great. And then in the Rockies with Rockies prices, does that impact your drilling plants out there and if not at what price do you think you'll... you might consider reducing activity?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: The Rockies as always gets hit with the differential and it does effect the percentage of capital we allocate out there. We do have a good hedge position on with our Rockies gas, we have a $7 floor with about 20 million cubic foot out there. So we feel good about that. We do expect that differentials in the long run will relax a little bit once you get the new... like the Rex line in out there and you don't have quite the gas-on-gas competition. But it has tempered a little bit the percentage of capital we allocate into the Rockies.
Eric Hagen - Merrill Lynch: Okay, and then finally in Appalachia on the horizontal program, did I hear... so are you going to dedicate one rig, just the horizontal wells and if that's the case, I mean, how many wells per quarter and what sort of a basic outline in the drilling program for... and the rest of year in 2008.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes and really the rest of 2007 we are going to dedicate this rig to horizontal drilling and in 2008 they will have probably a couple of rigs dedicated to just horizontal drilling in 2008. We are going to expand our horizontal drilling program.
Eric Hagen - Merrill Lynch: All right, great. Thank you.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: You bet.
Operator: [Operator Instructions]. Your next question comes from the line of Ellen Hannan with Bear Stearns.
Ellen K. Hannan - Bear, Stearns & Co.: Good morning. Hi, just a question for you on Canada, could you just refresh my memory what is your takeaway capacity in your Canadian regions on the pipeline --?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Are telling about the Hinton area Ellen?
Ellen K. Hannan - Bear, Stearns & Co.: Yes, yes.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: We had a firm... $22 million a day firm on that Hinton pipeline and I'll let Jeff kind of just add to kind of what's going on out in that area.
Jeffrey W. Hutton - Vice President of Marketing: Okay Ellen, we have like Dan mentioned 22,000 a day firm, that's net to Cabot. The pipeline capacity was build to through 50,000 a day of... at the current stage that it's at with just a little bit of compression add and a little bit of looping in that 50,000 a day goes to 100,000 a day. And with deliveries both into two large interstate pipelines, Alliance and TransCanada. Though, for short-term and long-term, the capacity should not be a problem.
Ellen K. Hannan - Bear, Stearns & Co.: And I had a question, you may have already tried to answer this and I apologize if I missed something. On the James lime horizontal, do you have a cost per well for that?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Cost per well as completely well cost is approximately $3 million.
Ellen K. Hannan - Bear, Stearns & Co.: And you are not... you do not want to talk about what your expectations for the EUR yet?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: No, it's a little bit early for that. We should be able to get to that in the next quarter.
Ellen K. Hannan - Bear, Stearns & Co.: Okay, very good. Thank you.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Okay.
Operator: Thank you. Your next question comes from the line of Pavel Molchanov with Raymond James.
Pavel Molchanov - Raymond James: Hi, good morning. Question about your Appalachian property, you mentioned before that both your pipeline and some of your upstream assets may be MLP capable, can you just talk to us about your latest thoughts about that?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Well MLP area is certainly abuzz and a number of announcements made for upstream assets be placed and midstream be placed in MLP. Cabot certainly has both of those, we have a large infrastructure in the East and our Cranberry system is about 2,700 or 2,8000 miles of pipes with a significant compression on that and we certainly have a type of assets that are low decline, low intensity that are conducive to MLPs. We look at the MLP space, we evaluate what we have as far as opportunity is to place in that. There is certainly a position to take that would say, if the MLPs are going to need to continue to facilitate their vehicle with additional acquisitions and assets to be placed end of those then we think Cabot whether it is a portion of our asset placed in MLPs or whether or not we position our asset in a way that would be attractive and secure what we think might be superior value for MLPs to dump into their vehicles, we think in both cases Cabot's going to be well positioned. But we continue to look at it and monitor the space.
Pavel Molchanov - Raymond James: Okay. Thanks very much.
Operator: [Operator Instructions]. Your next question comes from the line of Omar Jama with Oil Creek [ph].
Unidentified Analyst: Good morning.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Good morning.
Unidentified Analyst: I am wondering if you guys have given... you have sold assets in the past and I was wondering if you have given any thoughts to perhaps shedding some of the... either the Western assets or the Canadian assets, and so far the early results were pretty strong in Appalachia and maybe rededicating some of that capital to higher return drilling projects. Is that something you guys have talked much about?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes we have. It's a fair question. We always are looking at how we allocate our capital, we look at the depth of our portfolio with the... these 10,000 locations we have out in front of us and we are making efforts to create a little bit better present value on all of those locations and selling assets certainly is one way of doing it, I think when you do sell assets, I think it's a opportune time to do that. We have both and... certainly in the Rockies and in Canada we have a significant level of activity or locations or prospectivity in our portfolio now that is unrealized and for example on a number of the areas that we made discoveries, on Chime and Boltan and Norway, Hinton, we have a significant level of additional acreage available out there that you don't recognize by PUDs [ph]. You can put it in the probable... possible category at this stage but we don't think we would realize the value at this time for those types of assets. So if somebody came knocking on our door however and they would recognize the value as we do then certainly we would entertain that conversation. But it is a fair question on where we allocate our capital and what we get for the capital we spend in different regions and frankly I think that's the one of the strengths of Cabot that we do have multiple regions to allocate and it both... and all of them give us different input into our summation metrics that we report at the end of the year. Canada gives us a... just like the Hinton well we just tested that Hinton well at 12 million a day. A significant pass in our production where the East for example gives us a very, very good cost of fine number good rates of return in reserve replacement but certainly the way we return up there is not going to be equivalent to a well that you bring on at 12 million a day. So there's a good balance and that's certainly our objective as we put together a capital program and we're going to be looking at as we put 2008 together.
Unidentified Analyst: Okay. So given your kind of outlook for the CapEx breakdown looking into next year [Multiple Speakers].
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Well we have a broad meeting today and tomorrow we have our entire management group. In the office today we have a meeting scheduled and after our board meeting tomorrow to really talk and go in depth into our 2008 program and talk about all aspects of our portfolio.
Unidentified Analyst: Okay. Thank you.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes.
Operator: Your next question comes from the line of Eric Hagen with Merrill Lynch.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Hello Eric.
Operator: Eric, your line is open.
Eric Hagen - Merrill Lynch: Hey Dan.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes, I got that.
Eric Hagen - Merrill Lynch: Okay, sorry about that.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: No problem.
Eric Hagen - Merrill Lynch: Just a follow up on the MLP question. In terms tax leakage you think that's going to be significant issue there, have you invested enough capital into the infrastructure and into drilling to increase the tax basis or --?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Well yes I think the tax leakage... I think everybody that's dumping these properties into MLPs has to make that as a consideration when they put these vehicles together and we are looking at the tax aspect of it. Certainly our assets in the east are assets we've had a long time and we have a reduced book value on those assets as far as the upstream assets, midstream assets we continue to put dollars into expanding the infrastructure to allow us to expand our drilling program. So the tax aspect of that is something we are just looking at, at this time.
Eric Hagen - Merrill Lynch: So from a tax point of view, the midstream might be more perspective given the investments you've made over the past few years, is that fair to say?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Well we are looking at it but that might be a fair conclusion.
Eric Hagen - Merrill Lynch: Okay, great. Thanks again.
Operator: Your next question comes from the line of Jack Aydin with Keybanc.
Jack A. Aydin - Keybanc Capital Markets/McDonald: Hi guys.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Hey Jack.
Jack A. Aydin - Keybanc Capital Markets/McDonald: I got to know a couple of questions. The increase in CapEx for the balance of the year is $65 million. Could you break it down where you are going to spend that money, where you are allocating it to?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes. Jack I'll just... might touch on a couple of points and then turn it over to Mike. But certainly the success we are having in County Line with the horizontal drilling is going to see probably the majority of it and we are expanding the mid continent area also and also we have added a couple of horizontal wells to the program in the East.
Jack A. Aydin - Keybanc Capital Markets/McDonald: Second question I thought I was under the impression maybe I am wrong that you are acquiring additional acreage in... for the prospective Marcella [ph] shale. Did you... could you comment on it a little bit, could you share a little more color if you are adding acreage there?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: We have active programs in all of our regions right now with the line man [ph] and brokers.
Jack A. Aydin - Keybanc Capital Markets/McDonald: Okay. That's all you are going to say. Okay, now let me ask you another question. You are talking about your implied value in the grant of about 220 and alternatively you think instead of doing acquisition buying share, are you in the market buying shares... stock?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Well we are really just recently Jack... the market turned soft, everybody has looked at the weather and the storage numbers and that convergence has created a lot of softness in this space and everybody is given up some of their move that they have made and when you look at now where that has brought Cabot to, we would never really be equivalent to our peers in the ground, we are always under our peers on a Mcfe equivalent. But coming back to now 220 an Mcfe it's approaching now what we look at as our replacement cost with our organic program and when we say that and look at that and now knowing that we have added to our capital program we are pushing our staff as hard as we can and we get to a certain level of affective capacity with the staff to be able to drill efficiently and not waste money in trying to do too much and when we look at that and certainly with the strength of our balance sheet we do consider buying our shares back. We have not made any share buyback recently though and Scott might want to add to that.
Scott C. Schroeder - Vice President and Chief Financial Officer: Jack right now governance rules prohibit us from being in the markets simply because of the earnings and everything. Just for example when officers are blacked out, the company has to be blacked out also.
Jack A. Aydin - Keybanc Capital Markets/McDonald: Okay. And the other question I have is... Dan is this... okay you mentioned you have got almost 10,000 locations and you are talking about the capacity in terms of human resources and technical know-how. Now did you give... are you giving a thought that you might want to bring somebody through joint venture in some areas such as the Paradox Basin or other area?
Scott C. Schroeder - Vice President and Chief Financial Officer: Yes, Jack --
Jack A. Aydin - Keybanc Capital Markets/McDonald: And to accelerate the development of your... that 10,000 locations?
Scott C. Schroeder - Vice President and Chief Financial Officer: Yes Jack that's a good question, and that's been a... I referenced in my annual report... in our annual report that it is a significant value that's out there and multiple years of drilling locations are out in front of us and to really recognize some of the value we have to as a management group figure out a way to maximize the value of what we have in our portfolio and certainly coming up with the methodology to allow us to expand our program in a number of different ways. We could expand it by adding to staff which we are doing some, we still have probably 16 to 18 open job requisitions right now that we are trying to fill. We have filled some in various different regions, so we are adding that way to expand our program and we are ramping up as much as we can and what we think is an efficient manner. But we also looking at other ways of looking at maybe our locations that would be three, four, eight years out in front of us and maybe carve out an area that would allow somebody to come in and us still participate in some... in some way in some method but also allow us to recognize significant value that's hanging out there that we are not able to get to for multiple years but we might be able to find another way to skin the cat. And that is a consideration, it is a project that I'm trying to solve and it will be one that we continue to work on. We are not going to try to give away anything and we are not going to give away anything but we are going to try to recognize value with what we have in our portfolio. Thanks [ph].
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Thank you Jack.
Jack A. Aydin - Keybanc Capital Markets/McDonald: Thank you.
Operator: Your next question comes from the line of Larry Benedetto with Howard Weil.
Larry Benedetto - Howard Weil: Hi Dan.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Hey Larry, how is you?
Larry Benedetto - Howard Weil: I am doing well.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Good.
Larry Benedetto - Howard Weil: In the East, the EUR that you have given for recovery is 1 to 1.8 bcf and that's a fairly wide range?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes.
Larry Benedetto - Howard Weil: Is there any thing other than rock quality that would determine whether that recovery would be in the high end of the range or low end of the range?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: No. And it's still a very small sample pool Larry. We have been conscious on putting out numbers out there because we didn't want to get ahead of ourselves and we still have a fairly large range. But we only have five well that are produced... been producing now for a month and really it's still early to be... I think to be talking about EURs but we felt a little bit of a need to get some numbers out there and certainly represent and recognize that the horizontal program is a viable program for us. I would think with additional drilling, you are going to have a myriad of different results. You are going to have better wells and you are going to have wells that are not as good. I don't know where the average is going to fall out. Obviously we'd like for it to fall out on upper end and if through... weather we can enhance that upper end by the extended drilling... getting out 3,400, 3,500, 3,600, 3,700 feet and adding multiple fracs or how we frac the wells as being one way. But also if we find the fracture swarms in it... that are maybe significantly better than the range that we've found here, certainly the average is going to be on the upper end. But rock quality and the fractures and the rock, Larry, are going to be the key to our result.
Larry Benedetto - Howard Weil: Okay. And then a quick one for Scott. Do you have a diluted share count?
Scott C. Schroeder - Vice President and Chief Financial Officer: One second Larry. Six months 98077.
Larry Benedetto - Howard Weil: Thank you very much.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Thanks Larry.
Operator: [Operator Instructions]. Your next question comes from the line of Biju Perincheril with Fortis Securities (sic) [Fortis Bank, Inc.]
Biju Perincheril - Fortis Bank, Inc.: Yes hi. Can you expand a little bit on your... the cost and the second quarter production costs and your expectations going forward, I see that you've maintained the guidance in the second half.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Biju, we were within a Penny of the unit cost, Dan alluded to the fact that we had water [ph] disposal, compression costs that impacted the second quarter, some workovers. We expect the increase volume that that will come back in line with those. We have forecasted so that's why we did not change the direct operations guidance.
Biju Perincheril - Fortis Bank, Inc.: Okay. And then the nine more-or-less horizontal wells that you will be drilling at County Line, are those going to be dual add-ons at Pettet and James lime?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: No, right now we are just focusing on the James lime with it being... the Pettet being oily and the James being gassy. We are going to focus right now just on the James horizontals.
Biju Perincheril - Fortis Bank, Inc.: Okay, thank you.
Operator: Your next question comes fro the line of John Ragard with Friess Associates.
John Ragard - Friess Associates: A question on the Moxa area, you guys have been very successful in the frontier. And if I recall in the past you have drilled the wells a little deeper to target another formation and the name of which is escaping me now and you had at least one successful well. Out of those 15 you've drilled this year, is that the only successful additional pay you have completed below the frontier?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes. John we have... Dakotas is what we have deepened the wells to when we do. As I have mentioned Dakota is a more of a fluvial type of channel sand that we look for. Of the 15 wells, we felt like where those 15 wells were located based on our best guess geology that only five of them were warranted in deepening and we did deepen five of those. We've had that one success and the other five wells we felt like were not economic for effective completion in the Dakota. But we will continue with that program. Again as we have always stated it's a higher risk program but can't add... we think if you find it's significant value to the program.
John Ragard - Friess Associates: And the incremental cost is fairly low per well bore, correct?
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Very low.
John Ragard - Friess Associates: Okay. Thank you.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Yes.
Operator: At this time there are no further questions.
Dan O. Dinges - Chairman of the Board, President and Chief Executive Officer: Okay, Wanda, I appreciate it, appreciate all the good questions and we certainly look forward to our 2007 third quarter to be our most active quarter and look forward to our report in October. Thank you very much.
Operator: This concludes today's Cabot Oil & Gas second quarter 2007 conference call. You may now disconnect.